Operator: At this time, I would like to welcome everyone to the Barings BDC Incorporated Conference Call for the Quarter Ended September 30, 2019. All participants are in a listen-only mode. A question-and-answer session will follow the company's formal remarks. Today's conference is being recorded and a replay will be available approximately two hours after the conclusion of the call on the company's website at www.baringsbdc.com under the Investor Relations section. [Operator Instructions] Please note that this call may contain forward-looking statements that include statements regarding the company's goals, beliefs, strategies, future operating results and cash flows. Although the company believes these statements are reasonable, actual results could differ materially from those projected in forward-looking statements. These statements are based on various underlying assumptions and is subject to numerous uncertainties and risks, including those disclosed under the sections titled Risk Factors and Forward-Looking Statements in the company's annual report on Form 10-K for the fiscal year ended December 31, 2018 and quarterly report on Form 10-Q for the quarter ended September 30, 2019, each as filed with the Securities and Exchange Commission. Barings BDC undertakes no obligation to update or revise any forward-looking statements unless required by law. At this time, I will turn the call over to Eric Lloyd, Chief Executive Officer of Barings BDC. Please go ahead.
Eric Lloyd: Thank you and good morning everyone. We appreciate you joining us for today's call. And please note that throughout this call, we'll be referring to our third quarter 2019 earnings presentation that was posted on the Investor Relations section of our website. On the call today, I'm joined by Barings BDC's President and Barings Co-Head of Global Private Finance, Ian Fowler; Tom McDonnell, Managing Director and Portfolio Manager of our broadly syndicated loan assets and Global High Yield group; and BDC's Chief Financial Officer, Jonathan Bock. Ian and Jon will review our third quarter results and provide a market update in a few minutes, but I'd like to begin today with some high-level comments about the quarter. Please turn to slide 5 of the presentation, where you'll see our third quarter highlights. Overall, results were consistent with the second quarter as we continue to selectively increase our direct lending exposure, while also maintaining a steady NAV per share. For the quarter, NAV per share was $11.58, while our net investment income increased by $0.01 coming in at $0.16 per share for the third quarter versus $0.15 per share for the second quarter. We continue to have no loans on non-accrual and the overall credit performance of our portfolio remained strong. Our middle-market debt portfolio was valued at 99.7% of cost as of September 30 and our broadly-syndicated loan portfolio was valued at 96.3% of cost. The DSO portfolio decreased in value by approximately $2 million for the quarter, although, we did see appreciation for roughly two-thirds of our investments, including names such as SEI Packaging and Rentals Group. This appreciation, however, was offset by volatility in a handful of liquid securities particularly in the energy and prescription drug industries such as Seadrill, Fieldwood Energy and Mallinckrodt. The majority of the underperformance was focused within a few specific names, as we have only seven broadly syndicated loan investments out of 103 that were valued below 90% of cost at quarter end. Shifting gears for a moment, I'd like to focus investors on our investment ramp and transition from broadly syndicated loans to directly originated and proprietary investments. I'll characterize our investment ramp as both steady and deliberate. Since August, we've invested $490 million in middle-market investments averaging $90 million per quarter, with new middle-market investments totaling $121 million in the third quarter. Additionally, we matched those third quarter originations with $130 million of net broadly syndicated loan sales in the third quarter and continue to selectively sell in the fourth quarter, bringing our broadly syndicated loan exposure to 61% of portfolio at September 30. In short, from an origination standpoint, we're exactly where we said we would be and we expect this steady and deliberate transition averaging approximately $100 million of middle market and proprietary originations per quarter to drive us towards an 8% yield. On slide 6, we summarize some additional financial highlights for the last five quarters. Ian will discuss market conditions in more detail, but I'll say that our investment pace must also be measured against the market opportunity set. Let me be clear, we are operating in a challenging lending environment as a wealth of capital aggressively pursues a finite set of quality investment opportunities. Additionally, lower LIBOR and tight investment spreads pressure market yields on all direct loans, and this will likely drive further competitive market behavior. In my view, investing in this competitive environment requires two very important actions to remain successful. First, managers should keep a wide investment frame of reference to ensure proper focus on relative value. This includes a view of both liquid and illiquid assets, special situation investment opportunities as well as multi-geographic focus to prevent being overly reliant on one asset class or category. Second, it is imperative to have a fee structure and liability profile that gives the external manager the ability to focus on attractive risk-adjusted returns, and limit seeking current income today at the expense of NAV deterioration in the future. Thankfully Barings as a $335 billion asset manager has an extremely wide investment frame of reference across global markets and multiple asset classes. We've managed in many markets through many multiple cycles all the goals delivering attractive risk-adjusted returns through cycles. Additionally, our unique ownership by MassMutual and its commitment to investor alignment allows to create a market-leading fee structure. These fee structure gives us the flexibility to generate attractive risk-adjusted returns to investors, while at the same time focusing on high-quality true first-lien senior secured investments. Before turning the call over to Ian, I will continue this point of alignment and update you on our share repurchase program. Please turn to slide 7. As a reminder, the share repurchase program we announced for 2019 aims to repurchase up to 2.5% of the outstanding shares when Barings BDC stock trades at prices below NAV and repurchase up to 5% of outstanding shares in the event that stock trades at prices below 0.90x NAV subject to liquidity and regulatory constraints. Based on how our stock is traded, the target amount for 2019 repurchases will likely be around 4.5%. Since the beginning of the program, the BDC has already repurchased 3.9% of the outstanding shares and we fully expect to achieve our commitment target by the end of the year, continuing to demonstrate our strong alignment with our shareholders. With that, I'll ask Ian to provide an update on our investment portfolio, the trends we are seeing in the middle market.
Ian Fowler: Thanks Eric and good morning everyone. Jumping to slide 9, you can see a summary of our new investments and repayments for the third quarter and net funding trends for the last five quarters. Our gross middle-market fundings for the quarter of $121 million, included 10 new platform investments and six follow-on investments. Included in these numbers are an additional $5 million for the joint venture, plus three European investments totaling $33 million. We look at our 10-plus year direct lending leadership position in Europe, as an excellent backdrop for diversification, as it continues to be a growing opportunity for middle-market direct lenders who hold roughly a 50% share of the current market and continue to take share from the large banks, a dynamic that creates a strong relative value proposition. Europe also provides an opportunity to make investments in strong middle-market companies that have characteristics of much larger companies. Europe is not one single market and barriers to entry within a single country can create competitive positions that middle-market companies do not typically enjoy in the U.S. Furthermore, while the company's EBITDA profile of $30 million may classify the investment as a middle-market company based on its size, the company's dominance in a niche market in a certain geography can be a characteristic normally enjoyed by much larger companies. And we will continue to utilize the Barings platform to take advantage of these types of opportunities going forward. Turning to slide 10. You can see that as of September 30 the BDC was invested in roughly $675 million of liquid broadly syndicated loans and $469 million in private middle-market loans and equity, including $47 million of unfunded commitments. Overall, our portfolio consists of 98% senior secured first-lien assets. The broadly syndicated loan portfolio had a weighted average spread of 329 basis points and a yield at fair value of 5.6%. While the spread was up slightly from 327 basis points at the end of the second quarter, the yield was down from 5.8% due to lower LIBOR. The weighted average senior leverage for this portfolio remained relatively consistent with last quarter at 5.1 times versus five times at June 30th. Shifting to the middle-market portfolio stats on Slide 10. As of September 30th, our $422 million funded middle-market portfolio was spread across 38 portfolio companies as compared to $352 million across 30 portfolio companies at the end of the second quarter. Underlying portfolio company fundamentals remained strong with weighted average senior leverage of 4.6 times and weighted average interest coverage of 2.7 times. Of the 38 middle market investments, 36 first-lien investments and two were selectively chosen second-lien term loans. Average spreads were up this quarter from 500 basis points at June 30th to 519 basis points at September 30th. As with the broadly syndicated loan portfolio, however, overall yields declined to 7.2% primarily as a result of lower LIBOR. A portion of the spread increase was due to higher spreads associated with the new European investments. As we have said before, our focus continues to be on credit spreads as that is ultimately our compensation for risk. Our middle-market portfolio remains well diversified as the 38 investments are spread across 14 industries with no single investment exceeding 2.2% of the total portfolio. Our top 10 investments are shown on Slide 11. Now switching gears to the broader market, please turn to Slide 13, where we show current yields earned in the large corporate market compared to middle-market syndicated and middle-market direct lending transactions. In short, the spread premium enjoyed by the middle-market lenders relative to the large corporate market remains at all-time tights. This is driven by continued capital flows into the middle market in light of a generally average level of M&A volume relative to 2018 as well as widening spreads and liquid loans as a result of technical outflows. What's more the tightening illiquidity premiums on the middle-market asset class require an extreme focus on ensuring illiquid credit is priced appropriately relative to its liquid counterpart. This is where Barings scale and depth and numerous asset classes comes into play as this allows us to properly price and drive attractive relative returns across multiple asset classes and geographies and search for relative value. As you can see on Slide 14, true first-lien middle market spreads are currently averaging 538 basis points. And looking at our first-lien deployments we've kept a focus on quality where our average first-lien spreads since externalization is approximately 510 basis points. Additionally, investors may notice that unitranche spreads have tightened materially and now sit on top of first-lien senior loans. This serves as a reminder that it is important to look at each issuer and capital structure individually, focusing on the true security position rather than simply a name or a category. On Slide 15, we show leverage trends in the broader marketplace not specific to our portfolio. While the traditional first-lien mezzanine and first-lien, second-lien structures remain elevated in the third quarter, they were relatively consistent with second quarter levels. The senior and unitranche categories, however, rose to their highest measured levels since this tracking began. I think it's also interesting to note that both first lien and total leverage hit new record highs of 4.5 times and five times for middle-market sponsored transactions in the third quarter, with 53% of middle-market sponsored deals having total leverage of greater than five times. Today's lending environment affords investors many opportunities to relax standards on leverage in order to compete for deals, which once again emphasizes our earlier points about investing focus, discipline, and diversification. We will continue to focus on finding quality transactions over meeting yield or deployment targets which we believe will ultimately be best for long-term shareholder returns. I'll now turn the call over to Jon to provide more color on our third quarter results and the opportunities presented by our joint venture.
Jonathan Bock: Thanks Ian. Turn to Slide 17, and here you're going to see a bridge of the company's net asset value per share from June 30th to September 30th. And a one pay decline in NAV to $11.58 per share was primarily driven by $0.02 of net realized losses and $0.04 of net unrealized depreciation on our investment portfolio and foreign currency borrowings. Speaking to the realized losses for a moment, approximately $0.01 was related to royalty payments due from our legacy TCAP portfolio company and we do not anticipate any material write-offs from this type of legacy position going forward. Now, the remaining $0.01 of net realized losses was primarily attributed to net losses on the sales of BSL portfolio investments. And for the net unrealized depreciation roughly $0.07 relates to the decline in two of the BSL portfolio investments that Eric mentioned Mallinckrodt and Seadrill which were partially offset by $0.03 of net unrealized appreciation across the remainder of the portfolio and our foreign currency borrowings. These declines in NAV were partially offset by our third quarter NII exceeding our quarterly dividend by $0.02 a share and a $0.03 per share increase due to accretion from the share repurchase plan. Slides 18 and 19 show our income statements and balance sheets for the last five quarters. That's also given -- that's when Barings took over as investment adviser for the BDC. Just a few things I'd point out here. First, you can see on the income statement that our third quarter total investment income decreased $300,000 compared to second quarter. While our middle-market portfolio grew during the quarter sales and repayments within our BSL portfolio and lower LIBOR drove the investment income decrease. These same factors drove an offsetting decrease in interest expense quarter-over-quarter, which included a $100,000 impact due to the contractual uptick and the unused fee on our corporate credit facility 50 basis points in mid-August. The increase in net investment income to $8 million in the third quarter was impacted by lower general and administrative expenses as the BDC incurred lower direct and indirect charges during the quarter. Now, as a reminder general administrative expenses include expenses incurred under our admin agreement with Barings and other expenses such as D&O insurance costs, legal and accounting fees, and valuation expenses. You can see on Slide 19, there were no significant changes to our balance sheet during the quarter, although borrowings have consistently continued to shift from our BSL facility to our corporate credit facility. Details on each of our borrowings are shown on Slide 20. Now, given the BSL sales and repayments, we further reduced the total commitment under our BSL facility to $177 million in August and $7.5 million of the CLO Class A-1 notes were also repaid during the quarter. Our leverage at Sep 30 was 1.10 times debt-to-equity or 0.94 times after adjusting for cash short-term investments and net of unsettled transactions. Slide 21 shows our paid and announced dividends since Barings took over as the adviser to the BDC. We announced yesterday that our fourth quarter dividend of $0.15 will be paid on December 18th and that's our fifth consecutive increase to align our dividend with the earnings power of our portfolio. Turning to the remainder of the year Slide 23. Here this summarizes our investment activity since September 30th. And in the fourth quarter, we've made approximately $69 million of new middle-market private debt commitments of which $25 million have already closed and funded. All of these investments were first lien, floating rate loans, and they had an average three-year discount margin of 6.2%. Now, our profitability weighted pipeline is shown on Slide 24. And you can see our current global private finance investment pipeline is around $1.05 billion on a probability-weighted basis and is heavily focused on first-lien senior secured investments across a variety of diversified industries. And that compares to a pipeline of approximately $420 million that we discussed on our last earnings call. Now, as a reminder, this pipeline is estimate and it's based on our expected closing rates for all deals in our pipeline. Also I'd like to provide some additional color on our joint venture with the state of the South Carolina Retirement System. From the beginning, our plan has been to build credibility during our first year as an investment adviser. During which time, we design a vehicle that would allow us to leverage the broad expertise and investment expertise of Barings, while effectively managing investment diversity within Barings BDC. This vehicle is our joint venture, which we utilized to help drive shareholder returns through the effective use of our non-qualified asset bucket. And that's across a wide variety of liquid and illiquid asset classes across multiple geographies As the JV ramps, its benefits are both direct and indirect. On a direct basis, the JV is targeting 10% return on its equity. But also on an indirect basis, the JV allows the BDC to share in certain non-qualified assets, allowing the BDC to benefit from diversity and high-quality return, while also maintaining proper diversification. As we've discussed, the JV has a very wide investment mandate and the BDC also has the opportunity to participate in certain of these investment opportunities. We're going to continue to evaluate each opportunity in areas such as European credit, structured credit, and make investments in these areas they have attractive risk-adjusted return profiles. Barings wide investment frame of reference enables the JV and the BDC to participate in these opportunities, and we see that as a key differentiator in today's dynamic lending environment. And with that, operator, we'll open the line for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Your first question comes from Mickey Schleien from Ladenburg. Please go ahead.
Mickey Schleien: Yes. Good morning, everyone. Eric, a question for you, when we look at the performance of larger companies, we're seeing fairly consistent deterioration in fundamentals. And that's showing up in many metrics, like the proportion of leverage loans that are being downgraded. On the other hand, middle-market companies continue to do well. So, I'd like to ask you, what do you attribute that divergence to at this point in time?
Eric Lloyd: Okay. Thanks, Mickey for the question. And I guess, it'll be a little bit of Eric Lloyd's opinion relative to kind of an overall context of the management team, but I think it's consistent with what we've seen. So, I think there is a couple of things at play here. Most of our middle market companies are primarily or almost exclusively tied to the U.S. economy and they have much less of a global or kind of multiple geographic footprint. If you look at the U.S. economy relative to other economies in the world, most people would say, it's outperforming other economies in the world. Tom, can speak to the larger markets, but our average EBITDA size of our broadly syndicated loans in this portfolio is about $300 million, or about 10 times the size of our middle-market assets from an EBITDA perspective. And those companies are much more likely to have a much more multinational or global footprint. Whether that be more impacted by tariffs or imports or exports or have businesses that are more tied to economies that are outside the U.S. that maybe are just a slower economic growth cycle than what's in the U.S.
Mickey Schleien: And Eric, just a follow-up. In the past, we've tended to see trends in the larger more liquid markets eventually worked their way down to the middle market. And I'd like to understand whether you think that's also the case for what you just discussed and how that's impacting your investment strategy?
Eric Lloyd: Yeah. So I'd say, I think Ian characterized it well in that – on the private companies as you know, sometimes we get monthly financials for those companies. Sometimes we get quarterly financials for those companies. But we're in constant dialogue with management teams to understand performance. And I would say, as Ian represented, the portfolio of companies in general we see continued attractive performance or strong performance. But I would tell you that, on an organic basis, it's a little slower this last 2019 than what you would have seen in 2018, not in some material way. And it's hard to kind of really – with a lot of acquisition roll-up companies that are out there, it's hard to really get the data behind it, to get the really comps-to-comps. But as you talk to management teams, and the like I would say, it's still positive, but it's definitely less positive than would have been in 2018. So, whether that's the larger market dynamics coming into the middle market, whether that's a slowing of the U.S. economy in some general way, means a combination of those factors, I don't know, but we're seeing that. So, what does that mean for our investment performance? First of all, as we've articulated in August of last year, we underwrite every deal assuming, there's going to be an economic and a credit cycle during the life of that asset. Our typical loan is somewhere between five and seven years in length. We don't know when that next cycle is going to come. We know, we're closer to it today than we were in August last year. But we always assume we're going to have that economic or credit cycle during the time that we own that asset. And so from a bottoms-up perspective, it's not really changing what we're doing in any material way. That being said, there are certain industries as you go longer into an economic recovery that you say, maybe I want to shy away from even more than I have in the past. Let's use consumer discretionary as an example, right? Coming into an economic recovery consumer discretionary is going to perform differently than going potentially into an economic recession. So, on the margin you do take industries and make them a little more or less out of favor, but we don't whipsaw things one way or the other. What it does mean, and I think we've tried to highlight this multiple times on this call, is a couple of things you have to do this in this environment. It really is about discipline, selectivity, and then ultimately running a very diversified portfolio. I think as Jon referenced, our single – or Ian referenced our single largest investment, I think is about 2.5% of our portfolio. That's deliberate on our part. We don't want to have an investment that's 6%, 7% of our portfolio, when you look at that, because you just don't know which of these ones will end up being a challenging situation, but we just know, we'll have one eventually.
Mickey Schleien: That's really helpful, Eric. Those are all my questions. I appreciate your time. Thank you.
Eric Lloyd: Absolutely, Mickey thanks for dialing in.
Operator: Thank you. Your next question comes from Finian O'Shea from Wells Fargo Securities. Please go ahead.
Finian O'Shea: Hi, guys. Thanks for having me on. Just a couple of questions on your portfolio earnings ramp. First on the liability side, it looks like a challenge here is coming from the unused fee on the middle-market facility commitments. So, looking at the three facilities you have it looks like you are reducing as Jon mentioned the BSL facilities commitments. But then the static CLO goes down as it does. But the question is, are you going to replace that financing with another unsecured or securitization? Or are you going to transition entirely to the middle-market revolver?
Jonathan Bock: Yeah. Fin, it is Bock. I'd say that, one if you look at the inflection point, where the unused fee becomes less onerous that's about one-third utilization of the facility, which is roughly $150-so million of net middle-market originations that show up on that line. Remember, the way we fund those middle-market securities, we do it both through a combination of BSL sales, as well as middle market borrowings on the ING line. And so where we're coming out is – I'd imagine, you'd see additional sales and reductions in that line near-term right as opposed to a full-on extension.
Eric Lloyd: Fin, I'll tell you, this is Eric. I mean, I mentioned that we closed the facility that we went out for a smaller number. We had really attractive response from lending providers and we went for a larger number. At the time, I represented a major decision that, it would be potentially a small drag on earnings, but that incremental liquidity going into – tying back to Mickey's question, what could potentially be a challenging economic environment was worth the trade-off. And time will tell whether that was a smart decision, or not, but I believe that that term liquidity for these type of vehicles, I believe long-term is an attractive way to finance them.
Finian O'Shea: Very well. I appreciate the color. And then on the portfolio side, you're staying conservative on new origination, which is good. But at this point, LIBOR is an obvious headwind and that's happened since you formed your strategy on the BDC. So, how do you think about your earnings ramp there for – while you are staying conservative on new origination? Is this going to delay your earnings ramp more? Or are you able to offset this in other ways?
Eric Lloyd: Yeah. Listen, I think Fin I appreciate you asking. I think that's the heart of the issue right now for us right, which is we've represented that we have a long-term goal of an 8% ROE to investors. As you represented there are some headwinds that are in the face of that. That being said, excuses are not what people are looking for. And so let me try and address this issue straight and head-on. The first year we came out so from, kind of, August until really the last quarter as we referenced is really about building trust with the shareholder base, transparency with the shareholder base, and establishing a liability structure and a fee structure that we believe is attractive over time. And we had very limited use of our 30% bucket outside of some broadly syndicated loans that we repurchased that were not for private companies. But if you think of other ways of using the 30% bucket that other people do, we've had extremely limited use of that. Tying that back to Barings right, the $335 billion asset manager that invest in multiple different asset classes across multiple geographies there is a way to supplement our middle-market exposure on the first lien that would make up again the 75% plus bucket with investments in that bucket that will be accretive to ROE. And in some cases accretive to ROE in a reasonable material way. Combine that with if you take our average spread we have today at 519, right, of the spread that we have in our middle-market assets, which is on -- in our document that we put forth on our investor presentation and the average upfront fees. If you take that for the vast majority of our portfolio at current LIBOR plus some use of the 30% bucket for other things that Barings does well, right. Whether that be some European transaction, structured credit, special sits there's all host of things that we've done improving our track record over time we could do, we do see a path to that 8% ROE that we've communicated to investors. Importantly, I think we represented to shareholders that we have strong alignment with shareholders and we have levers we can pull to help position us towards that 8% ROV also. I hope that addresses the question head on. If it doesn't please ask again so I make sure I do.
Finian O'Shea: No, no. That’s all for me. Thank you for the color.
Operator: Thank you. Your next question comes from Ryan Lynch from KWB. Please go ahead.
Ryan Lynch: Hey good morning, and thanks for taking my questions. First one just has to do with the JV. Obviously there is a wide variety of assets that can go into that entity that Barings invest across the platform being liquid, non-liquid, European, U.S., structured products, special situations, et cetera. Those are investments that are already going into the Barings platform and the JV could potentially participate and take a slice of those investments. So, obviously, Barings as a platform thinks those are good investments to invest in. My question is how is the JV determining, which of those investments that Barings is investing in, which out of those investments are a right fit for the JV for the BDC?
Jonathan Bock: Sure. Great question, Ryan. This is Bock. I'll say that the decisions get made. There's a board of -- there's a board for the joint venture that includes both three members from our JV partner as well as three folks from Barings that look at asset allocation in the context of return or net ROE per unit of risk, right? And you can measure risk a couple of different ways. But being how we're owned et cetera, we typically look at credit rating as a potential or good proxy or measure for risk. And if you start to look at different asset classes on different yield profiles, not applying any of the constraints of the BDC structure, you can start to lay out that generally speaking there's some cases to own a number of different asset classes with some tactical weights one way or the other. But generally speaking, you're able to go across the liquid and illiquid markets and make decisions on that basis. And so what you see is you can see our joint venture, it's -- as it's ramped you can see through the assets in terms of how it's been deployed quarter as of Sep 30. You'll see more representations of how we're looking at it on that basis, given that some assets can be levered more, some can be levered less, right, depending on the yield profile, but it always comes to a true return per unit of risk right, per asset class. That's something that permeates across our platform as we always want to price everything appropriately relevant to its underlying risk profile. So it's made by the Board of Governors and it's fairly broad in scope, but you have to apply a couple of key components. What the asset class return is, what the expected loss is, how it can be levered appropriately and then at the same time, how the all-in risk and volatility that investment ties into play.
Eric Lloyd: So Ryan, Tom McDonnell is here with us. And Tom is one of the board members of that JV and he's also on our High-yield Strategy and Allocation Committee that's been a long-standing committee and has responsibility for making portfolios that include European and U.S. liquid loans, structured credit and European and U.S. high-yield bonds. And that group has looked at relative value across those various asset classes for years, and Tom is already member of that committee. And that's one of the perspective he brings to that JV board as we sit around and talk about relative value.
Ryan Lynch: Great. That's helpful color. Following up on the ROE question, if I look at what is the long-term ROE that this entity can generate, when I look at your -- and I appreciate Eric your comments you mentioned earlier. But I mean if I look at your portfolio yield in your middle-market loans today of about 7.2% even with -- you said a point and half upfront fees that are amortized, maybe that's 30, 40 basis points on top of that 7.2% yield on your middle-market loans once you rotate the portfolio. Given the headwind LIBOR has already had and is going to have for the foreseeable future as these loans start to reset. When I run the math, it looks more like a mid-7s, kind of, percent ROE. Now you guys talked about the 8% ROE. That was a much different interest rate environment, a year -- little over a year ago. LIBOR was about 40 basis points higher and was heading upward. Now we're 40 basis points lower and is trending downwards. So I guess at what point, does that math given where LIBOR has moved start to change and that 8% ROE is not attainable? Because it seems pretty hard to obtain from the math that I'm running.
Jonathan Bock: I'll start and then I'll kick it over to Eric. So first on just the math point, Ryan, when you look at the math at a 519 spread, given L 225 cost to borrow, right, at the same time at a point and half upfront and the fees that are charged with G&A that's charged as well, you get above the 8% hurdle, which generates an 8% ROE. Now that's clearly on just a middle-market basis and the portfolio itself is shifting in that regard to a full middle market portfolio over time. So I'd say -- but that's one point at least as we've looked at the math how that works on an individual investment basis. The next question that goes to if you're building a portfolio and you're slowly moving towards that trend, right, that L 519 can also be supplemented from a number of different attributes across the Barings franchise in terms of a wider investment frame of reference. But also there's another point I think it's important to get across, because really what happens is if a portfolio yield is a proxy for our BDC's ROE, which essentially if you're generating 7.2% yield but you're paying 7.2% ROE. What that at its core means is that shareholders are not benefiting from leverage, which at the end of the day isn't really part of the investment gain right? What you'd expect is to see leverage to be an enhancement of return to the shareholders, which given our alignment and how we own is extremely important. So we tend to take all that into context. And so on an individual investment math basis, we see the 8%. Also want to point out that if portfolio yields match folks ROEs then there's no benefit to shareholders described through the leverage. And then from a long-term perspective, it'd probably be good to give Eric -- have Eric give us a just general sense of the ways we tend to look at alignment, as well as our investment management profile going forward to get exactly to your question.
Eric Lloyd: I think Jon answered the specifics well. I would tell you, is it harder today in what we thought we're signed up for in the environment 12 months ago, 15 months ago, absolutely, to your point, right? Spreads have been under pressure. The market is more competitive. LIBOR is lower and trending in a different direction, right? So, what does that mean for us, right? We didn't want to change from what we said going into this the first year, again, establishing trust and credibility and transparency with the investor base. We've had group off-sites, where we've talked about, what do we want to do from a portfolio strategy perspective, not to increase risk, but to add assets to the portfolio that we believe given the liability structure we have, will be diversifying and ROE enhancing beyond the traditional middle-market first-lien exposures we have. And this group of people that involves multiple people from our high-yield liquid team, Tom McDonnell is an example, Bryan High and others, other people from our private assets team that include assets across there to stay consistent with the risk profile we communicated to shareholders, what other opportunities that are out there. The combination of those factors, I believe, if people give us the time to show, we're going to prove it out, will be accretive to shareholders and get us towards that number that we've talked about. I can't control what LIBOR does, right? If LIBOR goes to 1%, will it make it more difficult? Yes. LIBOR goes to 3%, will make it easier? Yes. We referenced earlier one of the things, we believe that our core is we're paid for credit spread performance primarily. That's what we can control. And so, I'll tell our team we're not going to chase risk just to get there, but we are going to look at what other asset classes we can use to supplement or complement the core of the portfolio.
Ryan Lynch: That’s really helpful color all around that. I appreciate those comments. Those are all my questions today. Thanks.
Operator: Thank you. Your next question comes from Robert Dodd from Raymond James. Please go ahead.
Robert Dodd: Hi guys. Good morning. One question first on the P&L and then I've got a few other questions as well. Just the other OpEx, I mean Jonathan, you made some comments in your prepared remarks as well. Obviously, it was down at $1.2 million this quarter. There's some seasonality to that. But that's now a 45 basis points of assets the prior two quarters had been 65. Can you give us any color on that? Is that just a seasonal benefit? Or is that either on a run rate dollar basis or percent of assets or however you want to quantify? Is that kind of directionally, what we should be looking for going forward?
Jonathan Bock: Sure. Just context on G&A overall. So, one, your first and second quarters are generally heavy as it relates to audit and proxy costs, right? Your third quarters can be generally light. That being said, if I were going to be asking analyst or give some expectation on how those things trend out, I'd be saying that as number of legal legacy costs continue to roll off that were apart from the TCAP purchase, you'd probably see some additional enhancement and improvement in that line on a go forward basis. So, from a modeling perspective, you can see it's kind of stable to improving slightly as it relates to expense. Does that help?
Robert Dodd: That is very helpful. Thank you. And then on a question for whoever wants to take it to be honest. The broadly syndicated loans obviously sold down quite a chunk in the third quarter. Result was net portfolio shrinkage. Obviously, I mean your middle market very good originations. So, on the BSL, is this -- and also in the October period, you've sold down more BSLs then you fund it on new originations. So, is this a decision given the volatility and maybe the global sensitivity that you talked about Eric with the BSLs to maybe they're more sensitive to global weakness than your middle market? Should we expect continued, maybe net portfolio declines as BSL sell-downs exceed middle-market originations?
Tom McDonnell: Yes. So, this is Tom. I'll speak a little bit to that what we do on the BSL side. So, as we mentioned early, in October, we did take advantage of that. The market was strong coming out of September, so we did take advantage of that and sold down some BSLs there as well. So, what we do look for is, we're in close contact with these guys. Whenever we see strength in the market and in particular names, where we're above to our cost basis, we'll notify them. They get to make the decision about, do we pull the trigger on that based on liquidity needs. So, that's typically how it's worked. And I think that's going to be the way we do it going forward.
Jonathan Bock: And then from a funding standpoint Robert, the question was, how do BSLs match the middle markets? And we try to keep them fairly close. That being said, if there's an updraft and I know our liquid team always see this to the extent that super high-quality companies continue to fetch a bid that's in excess of the price, we lower -- we'll sell into that, right? And so, we'll try to keep them closely matched. But when the opportunities present themselves to further reduce as they did in September, as they're currently doing today, you can probably expect to see us being a little bit more aggressive because what matters to us in terms of ROEs and that question is portfolio rotation is critical, it's important and it should be done deliberately as well as tied to our middle-market originations as well.
Robert Dodd: Got it. Got it. Appreciate that. Then just on the kind of the unfunded side. Obviously, at the end of Q3, you had $47 million in unfunded. There's another $45 million so far in October if I've done my math right. So I mean that's pushing -- that's about $90 million on a portfolio that's $450 million funded, right, it's about 20% or -- well $500 million unfunded. Is there any color you can give us on the unfundings -- I mean are they revolvers? Are they going to get funded? The timing how is the dynamic on that kind of work so that we all understand.
Jonathan Bock: So knowing that you're looking a lot of folks that kind of refer to it differently, this is not going to be a revolver or a venture-driven type -- venture debt-driven type of fundings, where you make a commitment and it might not fund, right? When you see commitments for us that means that we've been mandated on the transaction. We've received the -- we've received an allocation and we're effectively waiting for that transaction to close. So, those commitments aren't in any way shape or form lower-than-expected fundings, right? Those do translate into fundings over time, so you can see that as net portfolio growth in the future. We just choose to point out it really is a commitment and it hasn't funded yet, but there's a timing difference.
Eric Lloyd: And so Robert to put a little more color on that, just to make sure we're crystal clear. They're not revolvers. It is typical in today's environment that a sponsor in a transaction, if there's a $100 million funded term loan that that may be in our unfunded that could be committed amount as Jonathan said, we've already committed that. But it also happens where in that $100 million term loan there might be a $20 million delayed draw tranche of that term loan, right? So therefore, you're in the funded part, but then you have some delayed draw part that typically has a couple of years to draw, so the sponsor has that committed capital. And I'd say that's more the norm today than what you would have seen three or four years ago.
Robert Dodd: Got it. Got it. I appreciate that. And then one more if I can maybe for Ian. If I look at Page 15, when -- and you gave us some color on first-lien mezz/unitranche whether that hit peaks or not. In the past, you've occasionally given us a chart on this with sectors as well. I mean is there any sector that stands out as either particularly better on either leverage or yields or to your point return per unit of risk? Are there any that stand out as with deterioration or improvement?
Ian Fowler: Yes. Great question, Robert. And I think, as we've talked about in the past, the average purchase price in today's market is somewhere around 11.5 times, 12 times. And what you've seen is in certain industries, particularly technology and I would also say health care has been a field very prolific industry in terms of LBOs. And because of that, you are seeing the purchase price multiples in both of those sectors widen. And so, typically a lot of those deals are following those sectors in particular -- and I think this all ties back to this LTV issue. And it's obviously one factor that we look at in any transaction as we're thinking about it and pricing risk is we're looking at LTV, but the reality is LTV doesn't pay back your loan, it's not cash. And at some point, you cross a line, where you are so deep in the capital structure that you've got to bifurcate it out into more traditional structure versus a senior structure.
Robert Dodd: Got it. I appreciate that. Thank you.
Operator: Thank you. Just confirming, Mr. Dodd, you have now finished your questions.
Robert Dodd: Yes, yes.
Operator: Thank you. Your next question comes from Kyle Joseph. Please go ahead.
Kyle Joseph: Hey, good morning guys. Thanks for taking my questions. Most of them have been answered. But just a follow up on the broader environment, you guys commented how it's very challenging. Just to step back, how have you seen competitors react? Is it getting more competitive? Have you seen some guys step to the sidelines, given it's more challenging? Can you just give us some color on your competitors that would be helpful?
Eric Lloyd: I'll jump in and then Ian can add some color to it, because he's currently in the market, day in and day out. I think it kind of varies, depending on where you are in the direct lending business. I think we're trying to stay true to exactly what we have done for years and years and what we've communicated to people. Kind of that $15 million to $50 million EBITDA business is what we're trying to own. Now are we going to do some deals that are smaller for key strategic sponsors? Yes. We'll do some deals that are larger. Are key portfolio company your sponsors? Yes. But kind of in this space what we're seeing where we operate day in and day out, I would say, for the most part the competition has increased and not stayed stable. It's somewhat tight, I think, at times with people's different fundraising and where they are in fundraising that's for some managers. Other people like us have a much more diversified pool of capital, so they're less reliant on a single big fund that they raise at any one point in time. So I would just tell you, I don't know how I would say anything more than -- it was competitive a year ago. It's at least as competitive, if not more competitive today. Up to what margin it's kind of really hard to say. I don't know, Ian, if you'd add anything to that.
Ian Fowler: No. I mean, I totally agree with that. And quantitatively, it's hard to answer that question. Intuitively, we don't see anyone really stepping aside. We have walked away, for example -- I would say, the two items that have been areas where there's been degradation, one has been in documentation and structural protection. And we have walked away from transactions, unfortunately, because we just weren't comfortable with the documentation at the end of the deal. And so, I think, a lot of direct lenders have focused on documentation to be more competitive and give on terms. And quite frankly, a lot of us have gone through cycles and know that those terms are really critical in terms of ultimate recoveries. And so, we're being disciplined around that, as Eric said earlier on. I think what you're seeing now, maybe a little bit more on a quantitative basis, which goes back to the question that Robert asked is, you're starting to see leverage creep up. And I think it's selective in certain industries, as he alluded, but I think that could be a growing trend where we probably have seen the degradation we're going to see in the documentation and now people are focusing on leverage. And in terms of the documentation, our focus has always been in the middle of the middle market where we feel like we get the best documentation for companies of scale. And so, we're just being disciplined around that.
Kyle Joseph: That’s very helpful. Thanks very much for answering my question.
Operator: Thank you. [Operator Instructions] Your next question comes from Bryce Rowe from National Securities. Please go ahead.
Bryce Rowe: Thanks. Good morning.
Eric Lloyd: Good morning, Bryce.
Bryce Rowe: I was curious, with the drop in LIBOR, is there a point at which you'll get some level of protection from possibly pricing floors that you've got baked into at least the middle-market loan portfolio? Or am I wrong assuming that?
Eric Lloyd: No, you're right. I mean we -- I will say in all cases, but in the vast, vast, vast majority of our cases, we have a 1% LIBOR floor. So we still got a ways to go to hit there, but we do have some protection. In the few European deals that we've referenced earlier, we typically have a floor of zero in those deals to really protect us from negative base rates.
Bryce Rowe: Got it. Okay. That's helpful. And then, I guess, a question on Europe versus the U.S. Obviously, you highlighted the spread increase within the middle-market loan portfolio and European investments having -- or playing a part in that. Can you kind of speak to the differential in spreads between U.S. and European investments?
Eric Lloyd: Yes. So I won't -- these will be specific to the transactions in our portfolio. I'll talk a little bit about kind of what the two market comparisons look like because on a go-forward basis, if we do a few more, I don't want to just look at the fact set of a couple and extrapolate that out. So I'll give you a couple of differences that occur. First is, upfront fees. So if you look at our typical upfront fees in the U.S., they would average in the mid-1s from an upfront fee perspective. You would add around a point to that in Europe from an upfront fee perspective, so kind of a mid-2s perspective. So that's one differential. So, obviously, faster prepays in Europe. We do higher IRRs than the U.S., because you monetize that fee over a shorter period of time. Second, one I'd say is separating out the upfront fees, just on a spread to spread basis, the spread is a little bit higher in Europe. If I had to say for a like-for-like deal, I'd probably say it's around 50 to 75 basis points for a like-for-like deal. When combined with the higher upfront fees, you're probably talking about 100 to 125 basis points, depending on your views of return and repayment structures of differential between those two. And part of that is just, the absolute return that an investor needs where the base rate is basically a negative or zero over there. The second part of it is, it's -- in the vast majority of deals in Europe, there's one single tranche of debt. So from dollar one to basically the last dollar of debt is one tranche of debt. There's almost no mezzanine or almost no second-lien market. In the U.S., right, depending on the industry and a whole host of things, the size of the company, even in the middle market you see some deals that even, in today's market, have some mezz or some second-lien in there. And so, on average your attachment point is a little deeper in the European market than it is in the U.S. And that -- so you should be compensated a little bit more per spread. For our portfolio that incremental leverage from U.S. to Europe is about a half a turn of leverage and we believe this incremental return is -- compensates us for that. Same thing I'd say is, given where base rates are there, your interest coverages in Europe are more attractive than they are in the U.S. So the offset of having a negative base rate from a return perspective for an investor, the positive for the company, even at 0% floor in their loan, the interest coverages and the fixed charge coverages are quite attractive.
Bryce Rowe: That's really helpful, Eric. I appreciate it. I had one more question around kind of leverage levels. Obviously, you guys have identified longer-term leverage target for your balance sheet. I was curious how you're thinking about that targeted leverage near term. Given the macro environment would you prefer to operate with lower leverage today and maybe build it out as the environment improves over time? Thanks.
Eric Lloyd: Yes. Bryce I'm going to tie it back to a little bit of what Tom said and the question he got around selling the broadly syndicated loans. And it's not that we're still in a macro market timer, but kind of what -- and I'll tie back to the answer to Fin's question too, right, which is, I believe unused liquidity over the coming couple of years is going to be your ally. And so in today's environment, when we see the opportunity to sell broadly syndicated loans above our purchase price, in order to generate liquidity, if the smartest thing to do is to pay down borrowings, right, then that's what we'll do. We don't go into this with a targeted leverage level that we're going to be at every single quarter regardless. And so, on the margin, I would tell, you we're erring towards a lower leverage scenario than a higher leverage scenario, really to buy that optionality. The position we want to protect ourselves from is volatility in the broadly syndicated loan market, where those trade-down, similar to what they did last year. We have leverage levels at a level that are at our targeted level already and we have middle-market originations that we want to fund, then we really have two options. Take our leverage above our targeted level, or sell the broadly syndicated loans at a realized loss. Neither one of those are places we want to do, so we want to buy the optionality to have that leverage flexibility to the extent we have some volatility on our broadly syndicated loans.
Bryce Rowe: That’s helpful. Thanks you very much.
Eric Lloyd: You got it.
Operator: Thank you. Your next question comes from Casey Alexander from Compass Point. Please go ahead. Hello, Casey, your line is now open for questions.
Eric Lloyd: Maybe we answered all the questions that he had. So…
Casey Alexander: Hello. 
Eric Lloyd: No? Go ahead.
Casey Alexander: Hi. I'm sorry. Everything is stacked up on top of each other today.
Eric Lloyd: Exactly. …
Casey Alexander: And I had a call back come in right when you guys queued me up, I'm very sorry.
Eric Lloyd: All right.
Casey Alexander: And I pushed that off for 15 minutes. So -- and again, I missed this in your earlier remarks. And so this is just a maintenance question. Apparently, you sold down some more BSLs in October. And I came in after you made that. Did you specify how much you sold in October of BSL?
Jonathan Bock: Yeah. Roughly, Casey, slide 23 roughly $47 million.
Casey Alexander: $47 million, additional after the $130 million the previous quarter.
Jonathan Bock: That's exactly right.
Casey Alexander: Okay. And again, if you addressed this in your previous remarks, I'm sorry.
Jonathan Bock: No problem, all right go ahead.
Casey Alexander: But -- in the JV, how do you sort of anticipate dividend payments from the JV developing over the next several quarters? Because obviously you're just getting started and beyond that, you sold $10 million of loans from the BDC to the JV in this last quarter, do you have to take loans on your balance sheet first then wait for a quarter end and then sell them to the JV? How functionally does that work?
Jonathan Bock: Yeah. Sure. So from an operating perspective to the latter part of your question, a direct loan, right that is originated by our teams out of U.S. or Europe, has to come in through the BDC, subject to the fact that the BDC is part of our exemptive application. And all joint ventures across platforms are not, right? They're separate. There are a few folks in Washington that are working to effectively make that the case. But right now you have to have that step free directly originated transaction, to avoid some of the affiliate issues that exist. So there's that component. In terms of the first part of your question Casey, was -- which part was that? I want to make sure I got it right.
Casey Alexander: That was how do you anticipate dividend stream developing from the JV to the BDC? You have now two quarters dedicated $10 million of your assets. You're getting a contribution from South Carolina as you go. But you didn't really pay much dividend income this quarter. So how do you expect dividend payments from the JV to develop the BDC over time?
Jonathan Bock: That'll be subject to the joint venture board. I'll say from an accounting perspective, you'll find that a, if a dividend payment was not paid what happens is there is a corresponding increase to your NAV of the underlying equity in the JV, kind of like retained earnings. I'm going to refer to it that way, which can generate more return in the future we kept some of that vehicle and then disperse it. Our goal is to distribute it. But of course that can be subject to our partner. We wouldn't want to speak for our partner. But at the end of the day, everyone understands there'll be cash flow coming off this vehicle. Could it be one or two quarters before the streams flow in of course. But at the end of the day, we're going to expect steady and stable return. And more importantly, if you have the ability to increase that slightly as a result of this ramp, you can do that because from a cash earnings perspective, which is really important, we don't have any pick. We have a really healthy amount of cash earnings to supplement our dividend profile. So the goal is, if you want to keep the cash retained and earning more and perhaps getting reinvestment getting compounding, you do that for a while until you never went into a cash situation where you then might dividend it up. But that's all subject to our partner. That's context. It's not the exact answer expected to come. But the exact quarter, I wouldn't want to speak for our partners. But expect it in the future.
Casey Alexander: All right good thank you for answering my questions. So I appreciate it.
Jonathan Bock: Sure, thanks, Casey.
Operator: Thank you. We have reached the end of the question-and-answer session. And I will now turn the call over to Mr. Lloyd, for closing remarks.
Eric Lloyd: Well, I know, it's a busy day for all the analysts out there and all the shareholders. So I really appreciate you prioritizing us and making us part of your day to dial in and ask your questions. And hopefully you got all the answers that were clear and transparent. If they weren't you know where to find us. And we're happy to answer any other follow-up questions you have. Thank you very much.